Operator: Good afternoon, and welcome to the MGM Resorts International Third Quarter 2025 Earnings Conference Call. Joining the call from the company today are Mr. Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer and Treasurer; Gary Fritz, President of MGM Interactive; Kenneth Feng, Executive Director and President of MGM China Holdings Hubert Wang, COO and President of MGM China Holdings; and Howard Wang, Vice President, Investor Relations. [Operator Instructions] Please note, this call is being recorded. Now I would like to turn the call over to Mr. Howard Wang. Please go ahead.
Howard Wang: Thanks. Welcome to the MGM Resorts International Third Quarter 2025 Earnings Call. This call is being broadcast live on the Internet at investors.mgmresorts.com, and we've also furnished our press release on Form 8-K to the SEC. On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During the call, we will also discuss non-GAAP financial measures when talking about our performance. You can find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. I will now turn it over to Bill Hornbuckle.
William Hornbuckle: Thank you, Howard, and good afternoon, everyone. Our industry is constantly changing, and MGM is always moving forward, proactively navigating with agility and allocating capital with discipline to best position our company for future success. One example of our capital discipline was a challenging decision to withdraw our application for commercial license in Yonkers, New York. We dedicated significant time and resource over the last several years to this project adjusted along the way with our best efforts to make the project work for all parties involved. We have been and continue to be a proud partner of the city of Yonkers and the State of New York. We remain committed to operating the property in its current format and believe it will continue to enjoy success serving customers in the Yonkers and surrounding communities. Also, we have been consistent in our focus on premium best-in-class market-leading integrated resort operations and have held true to our message that we will optimize our portfolio when the right value opportunities are presented. This was the case for Northfield Park, which we are selling for $546 million in cash. You may recall, we acquired the operations in 2019 for $275 million. We have grown the business and create significant value over the last 6 years. And importantly, the sale of multiple of 6.6x represents a significant premium to MGM's current share price which values the opco business at less than 3x. This company's diversity is also a true benefit, and then all the headlines or concerns about Las Vegas and the general consumer MGM's consolidated net revenues grew this quarter, thanks to the geographic and channel diversity of our business. I've spoken in the past about the evolution of Las Vegas and that over the last 30 years, the market has grown at a CAGR of over 4%. Of course, that growth ebbs and flows over shorter measurements of time. And this summer, we heard from some of our guests around value in Las Vegas, and we responded by making adjustments to ensure a rationalized premium value experience across all of our properties. We also partnered with the destination on a fabulous 5-day sale during which we sold over 300,000 room nights, nearly double our typical pace, reflecting the strong demand that exists for our experiences. There are additional factors presuming the current visitation dynamic, including international visitation, particularly from Canada, Southern California drive traffic and the recent Spirit Airlines bankruptcy, resulting in several canceled routes. We are still expecting to receive over 40 million visitors to Las Vegas in 2025. While we don't expect the dynamic to be changed overnight, we are proactively working to create initiatives and draw incremental visitation. Despite these headwinds, several of our luxury properties generated record 3Q slot win. As we look to the fourth quarter, we see signs of stabilization as the luxury market segment continues exhibiting strength, Groups and conventions are returning and all MGM guest rooms will be upgraded and back online and F1 ticketing presales, particularly for the Bellagio Fountain Club are pacing higher versus the prior year. All of which puts us on a solid footing as we approach 2026. Over 90% of our target groups and conventions are contracted for next year, and the first quarter starts off strong with Conag continuing into the year with other citywides. We also built off the 900,000 room nights we are facing the book through our Marriott partnership this year. And I'd note, October is shaping up to be the strongest room night month ever for forward bookings originating from the Marriott channel. We'll have a full year in 2026 to benefit from the group and convention initiatives launched in the second quarter this year that will allow us -- that will allow meeting planners and attendees to earn Marriott Bonvoy loyalty perks. In the meantime, we continue maintaining an oversized share room nights and rate relative to our Las Vegas competition. As visitation ramps up in Las Vegas, we fully expect our advantage will be maximized by the outside efforts of our employees who achieved our highest-ever 3Q gold plus NPS scores despite continuing disruption from the MGM throughout the quarter, which, again, now has ended. Our teams in the regional markets drove another quarter of solid results. Several regional properties achieved record 3Q total revenue and EBITDAR and the regional operations as a whole generated all-time record slot win this quarter. The targeted capital to create and elevate VIP experiences at Borgata but a notable role again as a casino GGR growth outpaced the market during the quarter, and the Borgata posted all-time high table games drop and slot win. In Macau, even a brief closure caused by typhoon wasn't enough to stop the positive momentum as MGM China achieved record 3Q EBITDAR. Our contributions are leading Macau's evolution in the entertainment destination including the Macau 2049 Residency Show at MGM Cotai and the POLY MGM Museum at MGM Macau, all while staying focused on understanding our customers, particularly our focus on premium mass. The high end continues to drive market growth and quarter-to-date, we've seen a great response to the Alpha Gaming Club at MGM Macau, which officially opened in late September. Similar to the elevated experience provided by MGM Cotai's Matching 1, MGG Macau's 3,500 square meter Alpha Gaming Club includes nearly 30 tables, dedicated restaurant, cigar lounge and located just below the newly designed alpha villas. With more nongaming and entertainment events taking place in Macau, customers now have more reasons to visit and continue to drive growth into the market. The later 2 drove accelerated revenue growth for this segment, which in aggregate, grew top line by 23% this quarter and saw a priority market collectivity growing in line with TAM or higher. Our European BetMGM reached a new all-time revenue high in 3Q, with improved profitability driven by customers' growth and market share gains. Even though the success has been offset by increased investment in Brazil, we are seeing quarter-over-quarter growth with healthy player fundamentals. Notably, growth has been driven around the key metrics of retention, which is exceeding even some of our healthy mature markets. We have a great relationship with our local media partner, Grupo Globo, and are taking a disciplined investment approach for long-term brand positioning and profitability. We expect that to gain market share and reduce our gross spend in the future and MGM Digital has an opportunity for $1 billion in revenue with a significant margin, driving double-digit returns on those investments. Progress in Japan continues for 2030 opening, and we remain confident in our ability to generate a high-teens return at the time of opening, particularly as the only integrated resort in Japan, a country of over 120 million people. As of early this month, all elements of this project were under construction and at one time, there are 60 to 80 cranes and other pieces of heavy equipment on site. We also recently entered a USD 300 million equivalent yen-denominated credit facility at very attractive rates to support our funding commitment to MGM Osaka. And then Dubai also continues to make progress with an expected opening date in the second half of 2028. With that, I will now hand it over to Jonathan to provide additional detail on our performance this quarter.
Jonathan Halkyard: Thanks, Bill. And I'd like to echo my appreciation to all of our employees throughout our operations globally for their hard work and dedication. The effort does not go unnoticed and truly is the driver behind everything MGM achieves. This quarter, the Las Vegas segment reported $601 million in EBITDAR, down $130 million year-over-year. The bridge to that shortfall includes 3 main parts: there was $27 million in decreased business interruption proceeds together with an increase in insurance expense due to increased reserves; $25 million in disruption from the MGM Grand Room renovation; and $78 million from the impact on operations, primarily related to occupancy and ADRs. Roughly half of that operations impact can be attributed to Luxor and Excalibur and $6 million more can be attributed to lower hold year-over-year. The balance is attributed to softer ADRs and a decrease in occupancy, which affected volumes in food and beverage in some of our properties. This operating environment has provided an opportunity for us to focus on our cost containment efforts, and we've been able to reduce certain costs alongside top line fluctuations. Net revenue in Las Vegas declined 7%, but we managed expenses down accordingly where possible, including FTEs that also decreased by 7%. As we look into the fourth quarter, we're seeing improving room rates. We also have the benefit of all MGM Grand Rooms online and newly upgraded in time for the group and convention season. and we're seeing strong group demand in November and December, driving stabilization in our business. As we look to next year, the 2026 group and convention channel has the ability to drive growth. Currently, future bookings are pacing up in all outer years, while attrition and cancellations are in line with historical averages. Regional operations had another steady quarter as we grew net revenues modestly. EBITDAR was down $4 million related to a decrease in business interruption proceeds of $6 million year-over-year. Beyond that impact, the results were very solid. MGM China continued its impressive run with record third quarter EBITDAR despite an estimated $12 million typhoon-related impact in September. We also ended the quarter with a record market share of 15.5%. We continue to benefit from MGM China's strong cash flows with an $85 million dividend paid to MGM Resorts in September. As we look to fourth quarter in Macau, we experienced year-over-year growth across segments during the Golden Week holiday period with visitation up 11% and total win up 20%. For the month of October, we're pacing to a 16.5% market share and well over $100 million in EBITDA. Our BetMGM North American venture reported outstanding results and also announced that prior to the end of the calendar year, it will begin distributing cash back to MGM Resorts with the expectation of doing so on a quarterly basis going forward. We expect to receive at least $100 million in the fourth quarter from our $630 million total investment with more to come. The business model is proving out as within just the last 12 months, we've witnessed the evolution from positive EBITDA inflection, then to solid growth trajectory, and now to a business generating ample cash capable of funding growth and cash distributions. MGM Digital reported revenue growth of 23% during the quarter, while segment EBITDA was a loss of $23 million. For the full year, we now expect MGM Digital to have EBITDA losses that could approach $100 million, given our increased investment in Brazil. Though keep in mind, the actual contribution is consistent with our stake in the Brazil venture, which is roughly 50%. The venture has seen encouraging growth quarter-over-quarter throughout the year in active players, deposits and GGR. In our fourth quarter initiatives, including launching our in-house Sportsbook and continuing to increase the scale of the business, focusing on efficient returns. In Japan, construction continues making progress. We've recently raised a yen denominated Term Loan A at the MGM Resorts level equivalent to USD 300 million at a borrowing cost of approximately 2.5% as of this month. This facility also has the ability to upsize to $450 million and we're already receiving incremental interest. We'll use the proceeds from this issuance to cover our equity contributions for MGM Osaka at least through next summer. Finally, we continue to see significant value in our share price. In this quarter, we were able to provide yet another transaction precedent to further evidence the attractive valuation, when you strip out the value of MGM China at market value and assign a consensus value to the BetMGM North America venture, which we still view as very conservative given the current trajectory, you end up with an implied multiple of under 3x trailing 12-month asset EBITDA to say nothing of the value of MGM Digital, a business that's capable of $1 billion in run rate top line with double-digit EBITDA margins and this compares to the 6.6x announced sale multiple for Northfield Park's operations in Ohio, which, if applied across the board to our brick-and-mortar business, inclusive of Vegas, which arguably deserves a higher multiple than the regionals that would imply a share price of approximately $60. I'll open it back to Bill.
William Hornbuckle: Thanks, Jonathan. Fairly, I thumbed over a page, which I would like to spend a second on commenting about our digital business. before we take your questions. I know a few weeks ago, you all heard BetMGM's venture reported strong 3 quarter results and raised our full year guidance for the second time this year, increased 2025 EBITDA guidance to approximately $200 million represents an EBITDA increase of roughly $450 million in just 1 year without any new jurisdictions. Importantly, BetMGM will start returning capital to MGM Resorts with an expected initial cash distribution of at least $100 million in the fourth quarter. I also want to follow up on BetMGM's recent comments about prediction markets. For decades, the gaming industry has been a highly regulated at state level. This intense scrutiny has been essential to ensuring the integrity of the gaming industry and in the case of sports betting, helped to identify potentially irregular activity. This is not the time to back away from these high standards. Gaming historically has been and should continue to be a highly regulated industry with safeguards in place to protect consumers and promote integrity. I also want to take a moment and thank our Chief Operating Officer, Corey Sanders, who will be retiring at the end of the year, making this his last earnings call. I'm sure many of you on this call spoke to Corey frequently throughout his tenure. It's impossible to overstate what Corey has meant to this company over the last 30-plus years. As a person, as a leader, Corey understands the importance of caring for employees and treating people with respect. We all want to thank you, Corey, for your dedication, your service and your leadership and let you know that you will be deeply missed. In closing, I want to stress that MGM is the only global operator across physical and digital channels, converging gaming and hospitality with entertainment and sports delivering diversified growth at scale. We have proven to be disciplined allocators of capital, and we'll look at any opportunities with attractive returns, including share buybacks. And in Las Vegas, it's worth repeating, we are focused on what we can control and are well positioned to adapt given the range and diversity of our luxury offerings. We stabilized -- we see stabilization in the fourth quarter and growth in 2026 and beyond. And over the long run, we see a measured supply outlook, a growing local population, expanding entertainment infrastructure, rising demand for live entertainment and for luxury, and we remain very bullish on Las Vegas. And now operator, if we could open it up for questions. Thank you.
Operator: [Operator Instructions] And our first question will come from John DeCree with CBRE.
John DeCree: I'm sure we'll talk quite a bit about Las Vegas, but maybe to start with your decision to exit New York. Obviously, it was such a focus of your for a while. Bill, I know you gave some prepared remarks, but curious if you could elaborate. Was it just investment sizing, you put out a press release, but anything else you could kind of tell us there? And then my follow-up with the swing in liquidity. How should we think about MGM's kind of return hurdles for investment going forward with New York didn't quite pencil out?
William Hornbuckle: Sure. look, there wasn't originally a concern with -- and I think most of you know this, between ourselves and resorts, we basically had a guarantee to -- whether we did the tax or not, we had to make whole on the education fund, we had to make whole for the horseman. And ultimately, we struck a deal with the city of Yonkers, which meant we would have had a minimum tax of about $400 million. So that was our first hurdle. We knew that, but that remained a large hurdle. As we then began to understand the landscape that particularly as it's looked more and more where the competitive set would land, it put further pressure on the deal further pressure on the numbers. And I think the thing that concerned us probably the most was at the end when we thought we were buying for a 30-year license and were told it was 15 and it was done after we've made an original submission that was concerning because if not for that, then what else. And so while we initially liked the return, it got tighter and tighter so much so that given overall market conditions, we think it's capital best spent some other location and some other opportunity.
Jonathan Halkyard: And John, it's Jonathan. On your second question in terms of our return thresholds. I mean, given present circumstances with our share price, our return thresholds are pretty darn high. I mean we can capture free cash yield, just in repurchasing our own shares. I don't have the math in front of me, but it's probably 25% or 30%. One investment we're very excited about is our project in Japan. And despite Sarah's great efforts in securing this yen-denominated facility, which will get us through next summer, we'll be investing in that project in late '26, '27 and '28. But this is a project that we think probably has the most favorable supply-demand dynamics of any integrated resort. So we're very excited about that project. Otherwise, we're being -- we scrutinize our capital investments very closely, the growth capital investments that we have opening shortly in Las Vegas, like Carbone Riviera, Gymkhana, and the rest, we think are going to drive very nice returns for us. But we have a high return threshold right now as compared to simply buying our own shares.
John DeCree: And Corey, congratulations on your retirement. It's been great working with you over the years. Congratulations.
Operator: Your next question will come from Shaun Kelley with Bank of America.
Shaun Kelley: Also I'd like to offer my congrats to Corey, and we enjoyed working with you Corey, so thanks for that. So if I could just build on the last question a little bit around -- sort of the high ROI threshold, Jonathan, that you mentioned. I think the question we get over and over again is, obviously, I think we know the trajectory of land-based gaming in the U.S. we think a lot more about the growth in digital that you're experiencing. Does the turnaround -- and so there's going to need to be a balance at some point between value today and a lower cost of capital but -- or a higher cost of capital, but growth that you could achieve looking to a digital future. So just trying to kind of get your current sense on how you -- how you kind of prioritize or balance that? And just sort of your thoughts on doubling down on digital given, I think, the stability we've seen from the BetMGM team, obviously, lending itself to being able to return some capital to you.
Jonathan Halkyard: Yes. Thanks, Shaun. The interesting thing is right now, our digital investments are cash generative as opposed to cash consuming. We're in a very much a growth mode in MGM digital as it relates to our BetMGM brand expansions over in Europe and in Brazil. But the kind of the core LEO Vegas business together with, of course, BetMGM and North America are both generating now pretty substantial cash flow for us. So it's not requiring a digital investment. And as it relates to other additional investments in digital, we're really just focused on growing the existing businesses we have right now as opposed to doing any kind of inorganic growth.
Shaun Kelley: And then just as my follow-up, obviously, throughout the prepared remarks, you guys weathered pretty challenging Q3 environment. A lot of talk about Q4 stabilization as the group calendar comes back. F1 sounds encouraging. So just can you help us kind of put it on a spectrum of what -- like we hear stabilization? Is that getting better sequentially? Is that potentially flat in the 4Q? How much better could it be? Or do you really need like a bigger group calendar like we expect to see in Q1 to potentially see some growth in the Vegas segments just given some of the calendar issues that you're up against in Q4?
William Hornbuckle: Shaun, I'll kick it off, and obviously, my colleagues will pile on here. It has been sequential. Obviously, July for everyone in the community was a rough month. The summer was rough, but it sequentially got better. I will say the same about October. Knock on wood, we may even beat October of last year. And recognizing the fourth quarter last year was like an all-time fourth quarter. So all that being said, F1 does feel good. Leisure activity is there, we obviously can generate through value. We saw it with a fabulous sale. We literally doubled the bookings in that particular week. So we feel better about it. There's a lot out in front of us. The FAA in its considerations with the government shutdown may or may not have an impact. It has not, to date, thankfully. But there's no precursor to what that will mean for the next 6 weeks or so. But I think overall, we feel positive. There's a couple of weeks in December with leisure that is a hole that we need to -- we want to continue to push on to see how we fill. But sequentially, we feel better. And we use the word stabilization not lightly. We think we can get there.
Operator: Next question will come from Brandt Montour with Barclays.
Brandt Montour: Just starting off in Macau, the stats you gave for October were really impressive, obviously, implies share gains, and you gave the share number. But some of your peers have been more aggressive recently and they've been sort of public about that. And I know the EBITDA is there for you, you gave that for the month of October as well. But have you had to change your strategy at all? And is that sort of imputed in the share numbers that you have here?
William Hornbuckle: Kenny, why don't you take that?
Xiaofeng Feng: Yes. Okay. This is Kenny. Thank you for your question. Actually, competition is not new to us at all. We see rational competition in the market that operates like a folks -- operators are focusing on like offering quality products and bringing in excellent services for Macau visitors. For MGM China, we -- as we always said, we are focusing on understanding our customers like conducting CapEx project and improving our services to refresh and fine-tune experiences for our premier customers. For example, we have fully launched our Alpha Villas and Alpha Clubs clubs and the Fantasy Parks at MGM side. There is no such competitive products in the Macau peninsula market. These products, the key that these products truly reflect our understanding of our customers, they are well received. Like Macau market in January looks pretty optimistic for October. But for MGM China, we believe we anticipate we will deliver one of the strongest months in terms of GGR and the EBITDA performance at our company's history. So currently, what we are focusing on is we are focusing on the effective projects. Like on Cotai side, we are trying -- we are doing like we are converting 160 rooms to 63. Majority of them are 2-bedroom suites. So construction has started. We targeted to complete in the first half of next year. We believe these 60 suites will cater to the evolving taste of our customers And we are also developing some other high-end gaming place. places at MGM Cotai side as well. We hope we can utilize this our advantage, which is our deep concerning our customers. We are acting quickly and to maintain our market share in the mid-teens in Macau.
Brandt Montour: Okay. That's great color. And then back domestically, you guys had a saving programs of about $150 million. Some of that was taking price in certain areas. And I was hoping you could give a refresh on that program and sort of if you've had to sort of change things around, given some of the consumer awareness of prices in Las Vegas and if that was something that had to be adjusted and how you're faring there?
Jonathan Halkyard: Yes. We are kind of deep into that program now. In fact, most of the actions, the vast majority, let's say, over 90% of the actions that we set out really about this time last year are complete. And I would say -- and I don't want to speak for Corey or Bill, but in my opinion, there's really nothing we would have done differently on the -- kind of on the customer value side than what we did. In fact, many of the things that we did were in response to what we were hearing from our customers and the kinds of things that they were and were not willing to pay for. A lot of our activities also were in just the daily blocking and tackling of labor management and procurement and those types of things as well. I certainly wouldn't undo any of that because I don't think they in the end really had a customer impact.
William Hornbuckle: And just maybe a more global view on the whole value. Look, we lost control of the narrative over the summer. I think we would all agree to that in hindsight. When we look at the $150 million, we think about resort fees and park fees and some of the other things that were fee-based inside that number, those have remained as and in place. When we think about pricing and things that got everyone's attention, whether it's the infamous bottle of water, where a Starbucks Coffee Excalibur cost $12, shame on us. We should have been more sensitive to the overall experience at a place like Excalibur to those customers. You can't have a $29 room and a $12 coffee. And so we've gone through the organization. We think we hope we believe and we price corrected. I think the sale that the community did and we participated in a meaningful way, demonstrated we understand value, we understand Las Vegas and we'll always be that. We'll always need to be that. And so I think we've positioned ourselves for that, and we'll continue to do so going forward.
Operator: Next question will come from Dan Politzer with JPMorgan.
Daniel Politzer: I was wondering if we could talk a little bit about Las Vegas through the lens of the high end and low end. Bill, you mentioned luxury properties, record slot handle there, and then kind of juxtapose that with Excalibur and Luxor. Have you seen maybe a widening in the performance between these segments of your portfolio? And if so, kind of what are the adjustments or levers you can make going forward to kind of keep everything on the growth path?
William Hornbuckle: I think the core answer is yes. I don't think that's unique to us or our industry for that matter. But yes, look at Bellagio, ARIA, Cosmopolitan have continued to maintain rates, continue to maintain ADRs, generally speaking, in a tough environment. When you lose 400,000 seats in a marketplace over the summer, principally around Spirit and Spirits of value or airline that speaks to a marketplace that we potentially lost. When you think about what's going on in the country and you think about Southern California market, heavily Hispanic, I think our drive -- I don't think I know our drive traffic was down in the summer. And so that had presented and continues to present somewhat of a challenge. You think about international visitation in Canada. And while we're all trying to do things to make that better, I don't think that's going to go away anytime soon. And obviously, that's really across all of our marketplaces, the international piece, but it also impacts, I think, to a degree, for sure, Luxor, Excalibur, which is the 2 properties that we struggled here in Las Vegas the most. I don't know, Corey, if you have some more color.
Corey Sanders: Look, I think you look at the Bellagio, it seems to be -- you wouldn't know anything was wrong with it. We're able to fill the hotel rooms. The gaming volumes are high-end players is where it has been in the past. Weekends for everywhere, we were able to get occupancy. Rates sometimes a little more challenged than it was last year, but still we're able to fill the hotels. And this midweek when the convention base is not here, it's really Luxor and Excalibur, that probably have the biggest challenges of occupying rooms.
Daniel Politzer: Got it. And then this is a higher level one for Bill or Jonathan, whoever wants to take it. Obviously, there's been a few deals on the M&A front lately that you guys have been involved in, but I guess can you just talk about the appetite for a more diversified cash flow stream as you think about the things that you're seeing in your portfolio now? And obviously, the balance sheet is in good shape right now, but if something did come across your plate, what are kind of the thresholds we should think about that you guys would kind of go to kind of take advantage of that?
William Hornbuckle: Well, I'll talk about 40,000 feet, and Jon I can think about the actual threshold. Diversification, we've been saying it all along is key. We think we have the opportunity, given our scale, scope, breadth and knowledge to participate in many pieces of this marketplace. We think we do best when we're creating things that are at the highest end. And I think a lot of the recent things we've done in Macau proved that to be the case. I think ultimately, what you'll see in Japan will prove that out to be the case. We are obviously in the digital business in a big way, the combined businesses next year will probably do $3.5 billion top line. And as we've said, time to tell bottom. All that said, diversification is key. We have a large Las Vegas concentration which we understand and we manage to and -- but we will continue to look. I mean, obviously, right now, the value of our stock, you just -- I mean, when we're trading under 3x for our core business, not to continue to buy back our own stock. It doesn't make -- it makes all the sense in the world to us for today, but I'm sure the market because it always has, will readjust itself and other opportunities may come up.
Jonathan Halkyard: I think, our -- one of the pretty things about the performance of MGM China, for example, and BetMGM, and we expect MGM Digital as our company is becoming more diversified rather than less as those relatively smaller businesses grow at very high rates. With respect to M&A activity in the regional markets, between Goldstrike and Tunica, over $100 million EBITDA business, Northfield Park over $130 million EBITDA business. These are big businesses, but yet they are ones that we don't think have the growth to represent the scale of the regional portfolio that we aspire to have. So it's a pretty high bar for us to look at any additional regional properties. They have to be, of course, of the quality consistent with our brand, but also of a scale, and they're just in any market that we're not in. So it's a pretty high bar for regional M&A, I would say.
Operator: Next question will come from Steve Wieczynski with Stifel.
Steven Wieczynski: So what ask is the strip leisure recovery question maybe a little bit differently. So if we think about the next couple of months and fully aware, the booking window is a little bit tighter right now. But are you seeing a major difference in the booking patterns for that FIT visitor between your different properties. You talked -- you touched on this a little bit, Bill. But meaning is demand at Bellagio, Cosmo, ARIA, whatever you want to think about it, all really strong and you aren't seeing the same thing at the other properties like New York, New York, Luxer, et cetera? Or moving forward, are the booking patterns starting to become a little bit more similar across all your assets there?
Corey Sanders: I think the luxury booking patterns are similar to what they've been in the past. The core is -- and the legacy properties are booking a little bit differently. So where we used to book a ton of that in 30 days, we're seeing some of that book out a little further.
Steven Wieczynski: Okay. Got you. And then, Jonathan, to your last kind of remark there. If we think about the rest of your regional portfolio now after the Northfield sale. Just wondering how you view the rest of your regional assets at this point, meaning would any of the remainders be for sale? Are they all for sale at the right price? Just any high-level thoughts there about kind of rightsizing the rest of that regional portfolio would be helpful.
Jonathan Halkyard: That's a top question with my CEO sitting right next to...
Unknown Executive: I mean, sure, I guess, at some price, all properties are for sale. But I would say that our regional portfolio right now, they represent pretty much in every case, market-leading properties with very nice importation into Las Vegas. Most of them very important BetMGM omnichannel locations as well. So we like that regional portfolio a lot.
William Hornbuckle: Yes. And of the 7, 5 of them, our market leaders that they dominate anywhere from 25% to 47% of market mix in those particular -- the markets that they serve. And so we think of them, whether it's Borgata or the Bow in Mississippi as highly representing our brand well, market leaders independent of anything else we do, they stand on their own and they do quite well. Obviously, to Jonathan's comment on digital, it's important in most -- all of those states. A couple of them are not. Obviously, we've talked about New York. And so how to think about that long, long term, time to tell. But one day at a time, we've just come off of the -- we're not going to push forward for today in New York.
Operator: Your next question will come from Stephen Grambling with Morgan Stanley.
Stephen Grambling: Just want to follow up on Dan's question, but perhaps from the opposite angle. You talked about the undervalued nature of the stock. So what do you view as the primary levers or path that you could pursue to unlock value from here? And I know you referenced diversification, but is there also a path of simplification to consider? And if there are, what do you think is the kind of the lowest hanging fruit as we look across China, BetMGM, digital or otherwise?
William Hornbuckle: Let me kick it off and then Jonathan be -- obviously, digital and the unlock over time of BetMGM is something that we'd contemplate and that's not a surprise to anybody on the call. And so we're constantly talking to our partner about how we can all get the best value of what has been created there, which is a tremendous business. I think that's very real. Look, we enjoy our position in Macau. We particularly as of late. I think the team has done an amazing job there. You all know we own 56.7% of it. And so we've had a 20-year relationship with Pansy Ho, and so I don't see that changing anytime in the near future. If we can diversify and continue to grow our digital business and obviously, when Japan steps in, it's going to outweigh this, but if we could continue to grow our digital business, it will become more and more of a performer and more and more of what's important to us. But that's probably the place that we most think about diversification.
Jonathan Halkyard: Yes. And I think it's generating cash flow through our dividend stream from MGM China, now dividends from BetMGM. And then the other thing I'd say is we've, of course, talked a lot about the last quarter in Las Vegas, but we still think Las Vegas is a fantastic market, and we love our position here. We have a better cost structure than we've ever had in Las Vegas. And so with the dynamism in this market, I think that that's an unlock also for the stock.
Stephen Grambling: That's helpful. Maybe one quick follow-up since you flagged digital unlock with BetMGM first. Are there any organizational changes or bylaws to consider that need to be thought through as we think about the timing or path?
William Hornbuckle: No, not really. Look, we have a great relationship and partnership with our folks and friends and Entain. We constantly think about ways to improve that business. But no, there's nothing in that context that we need to unlock it.
Operator: Your next question will come from Barry Jonas with Truist Securities.
Barry Jonas: First off, congrats, Corey. It's been a real pleasure working with you over the years. I wanted to start on a strip question on the 2026 group outlook. I know the homebuilders conference is not in town for just next year. But that definitely doesn't seem to dampen the enthusiasm we're hearing for growth. So CON/AGG obviously, returns. But are there other specific large conference call outs you could share so we better understand what's driving the growth outlook?
Corey Sanders: Yes. Barry, we'd have to look and get back to you on the large conference call outs that I could tell you, our mix is going to be better next year. We're going to have more room nights. First half of the year is going to be extremely strong. First quarter and second quarter will be north of 20% convention mix, which allows us really, not only to fill all of our rooms, but even potentially yield up our rates.
Stephen Grambling: Understood. Okay. And then just as a follow-up. There have been some talk about increasing promotions in the regional markets. Curious to get your take on what you're seeing there, just in the regions and at the strip, you're seeing anything there as well?
William Hornbuckle: Look in the regional markets -- well, I guess I go back to Kenny's answer, there's always competition. Maryland continues to be more and more competitive as does New Jersey. Look in New Jersey, we've recreated a real differentiator with our product. We've gone in there. We've done all the rooms now what's called the MGM Tower, with the old Water club. We've gone through and redone and have an amazing baccarat area of VIP, domestic VIP. We have a new noodle shop. We have a new BBar, which is a center bar. And so you go in there, it's refreshed. It feels like a new property, and it's really focused on the high end. We've repositioned an aircraft there. So we are doing personalization when it comes to our highest level customers in that market. And so while we're aggressive, we're aggressive, not necessarily in what shows up in your mailbox, but what shows up with your host. And so we're pushing that high-end VIP extensively there. The other markets continue to be aggressive, and we continue to do what we do. I think the margin in this quarter was 30.1% for regional. So I think it's indicative of our activity case is measured and appropriate. And I think we'll continue to do that.
Corey Sanders: And we monitor all of our competitors and all of our markets also. And our reinvestment is where we thought it would be and it's fairly close to what it was last year.
Operator: Last question for today will come from Chad Beynon with Macquarie.
Chad Beynon: Corey, congrats from us as well on your retirement. I wanted to ask about, I guess, capital in Vegas. So maybe a 2-parter on this. First on MGM Grand. I think the disruption that you outlined today on last quarter's call, ended up being exactly what you had thought. So first question on that, given that, that project is done, should we start to see the ADR increases and some of the returns come in? Or do you maybe have to ease into this a little bit just because of the market softness? And then the second question that I have on capital projects in Vegas. Bill, I think you teased us before on ARIA potentially being a project in '26. I believe that wouldn't start until maybe after some of the big conventions, but if you could update us on that as well.
William Hornbuckle: Sure, Chad. I'll kick it off. Well, I think we were down for the quarter, 8% in room nights and 5% in AAC. So I think the first real challenge for all of us given the market conditions is to refill those rooms, and we've begun to do that, frankly, occupancy fairly easily and not easily, but I mean, we're in good shape there. Yes, over time, it will build because the actual product itself is spectacular. I think it exceeded not only our expectations, but the customers who have stayed there. And so I think as that gets out and use of what that product actually is, I think we'll see both AAC and ADR lift over the long haul. We are going to take pretty much the balance of '26 off in terms of room remodel. And what may be MGM so impactful was we were redoing the bathrooms and plumbing. So we were taking 2 more floors out than normal. So there was always 5 to 8 floors out in any given moment. Normal remodel centers around 3. But we're not going to start the ARIA until November of next year and then really push it into '27 and have the principal work being done over the summer of '27 so we can come out of that seasonality rate to roll and go to the next one, which is -- it's like Golden Gate Bridge in 2028.
Jonathan Halkyard: Chad, it's Jonathan. We will be, as Bill said, starting that in November, we will incur CapEx right at the end of '26 in the ARIA room renovation, but even so, we expect CapEx to be -- in '26 to be below in 2025. And during our fourth quarter call, we'll give specifics on CapEx guidance for the year.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Mr. Bill Hornbuckle for any closing remarks. Please go ahead.
William Hornbuckle: Thank you, operator. And again, I appreciate everyone's recognition of Corey. So Corey congrats and you're making me just. And look, Vegas is fine fundamentally. We feel good about the fourth quarter and particularly going into '26. Macau continues to outperform, and we're excited by that. And we're even more excited by what the digital business has been able to do year-over-year and ultimately where we think this goes. So hopefully, you share some of that excitement, and I appreciate everyone's time today. I know it's late back East. So thank you all.
Operator: This concludes our conference call for today. Thank you for your participation. You may now disconnect.